Operator: Welcome to IDACORP's Third Quarter 2015 Conference Call. Today's call is being recorded and webcast live. A complete replay will be available from the end of the day for a period of 12 months on the company's website at www.idacorpinc.com. [Operator Instructions] At this time, I would like to turn the call over to Mr. Steve Keen, Senior President -- Senior Vice President, CFO and Treasurer. Please go ahead, sir.
Steve Keen: Thank you, [Shanelle] [ph], and good afternoon, everyone. Today, we are changing our normal line up slightly. As many of you may know, Larry Spencer has been contemplating some plant surgery and he is currently out on leave. We wish him the very best and plan to see him in a weeks when he is fully recovered. In his absence, it is my pleasure to introduce you to Justin Forsberg, who has been working with Larry the last few months and who will be assisting us at the upcoming EEI Financial Conference. Justin has spent time in public accounting and he has been a key member of our financial reporting team for a number of years. Justin will lead us off this morning. So I will turn the call over to him.
Justin Forsberg: Thanks, Steve. We issued our earnings release and Form 10-Q before the markets opened today and they're both posted to the IDACORP website. The slides we will be using to supplement today’s call can be found on our website as well. We'll refer to those slides as we work our way through today’s presentation. In addition to Steve Keen, on today’s call we have Darrel Anderson, IDACORP’s President and Chief Executive Officer; along with other individuals available to help answer your questions during the Q&A period. As noted on slide three, our presentation today will include forward-looking statements. While these forward-looking statements represent our current judgment or opinion of what the future holds, these statements are subject to risks and uncertainties that may cause actual results to differ materially from forward-looking statements made today. So we caution you against placing undue reliance on forward-looking statements. Some of the factors and events that could cause future results to differ materially from those included in forward-looking statements are listed on slide three and included in our filings with the Securities and Exchange Commission, which we encourage you to review. On slide four, we present our quarterly and year-to-date financial results. IDACORP’s third quarter 2015 earnings per diluted share were $1.46, a decrease of $0.27 per share from last year’s third quarter. For the first nine months of 2015, earnings per diluted share were $3.24, $0.08 greater than the same period in 2014. I'll turn it back to Steve to discuss the results in greater detail and review our 2015 key operating metrics.
Steve Keen: Thanks, Justin. On slide five, we present a reconciliation of earnings from third quarter 2014 to third quarter 2015. Overall, net income decreased by $13.6 million over the period. The primary contributor to the reduction was a $12.4 million increase in income tax expense which shows up near the bottom of the chart. Last year the tax method change provided an additional $11.7 million benefit to third quarter net income related to the required adjustment for pre-2014 tax years. No such prior year modification was required this year since the new method was fully implemented during 2014. Now returning to the top of our reconciliation, lower temperatures in the third quarter this year compared to last year resulted in decreased customer usage by residential customers. This decrease in residential sales volumes also lead lower revenue as fewer customers reached or were within the higher priced pure rates under our rate structure. The combination of these two actors resulted in a $9.4 million decrease in operating income. Summer seem to arrive early this year with warmer weather delivering favorable results in the second quarter, while temperatures were more moderate in this year's third quarter. Partially offsetting this decline was a $3.4 million increase in operating income attributable to continued customer growth. From September 2014 to September 2015 the number of Idaho Power customers increased by 1.8%. And finally, Idaho Power has not recorded an accrual for revenue sharing during 2015 under its Idaho Regulatory Settlement. While in the third quarter of 2014 the company recorded $4.9 million of customer sharing. For 2015, we currently do not expect to amortize any additional ADITCs and we will share with customers if we reached the upper end of our earnings guidance range. Moving now to slide six. We show IDACORP’s operating cash flows for the first nine months of 2015 and the comparable period in 2014 along with liquidity positions at September 30. Cash flow from operations for this year's first nine months was approximately $291 million, a decreased of $25 million from the first nine months last year. Primary drivers for the reduction in operating cash flow were $19 million decrease in working capital and $11 million decrease from changes associated with regulatory accounts. These reductions were partially offset by a $4 million net income increase. IDACORP and Idaho Power currently have in place credit facilities of $125 million and $300 million respectively to meet short-term liquidity and operating requirements. The liquidity available under the credit facilities is shown on the bottom of slide six. Also, there are 3 million IDACORP common shares available for issuance under IDACORP’s continuous equity program. No shares were issued during the third quarter and we do not expect to issue new equity during the remainder of 2015. Turning now to slide seven. On a year-to-date basis, net income is ahead of 2014 and in line with our expectation. We continue to maintain our focus on operational efficiencies and have no changes to our estimate of 2015 O&M at between $340 million and $350 million. We also do not expect to amortize any additional accumulated deferred investment tax credits in 2015. The estimated 2015 capital expenditure range for Idaho Power remains between $300 million and $310 million. However, we are tightening our projected hydroelectric range -- generation range from 6 million to 7 million megawatt hours to a range of 5.7 megawatt hours to 6.2 million megawatt hours. And finally, we are maintaining our 2015 IDACORP earnings per share guidance range $3.75 to $3.90 per diluted share. I'll now turn the presentation over to Darrel.
Darrel Anderson: Thanks, Steve and good afternoon to all of you on the call. I will cover a few items with you related to our business, including an update on our total proceedings, some recent acknowledgment the company received and look at some key economic indicators. I will also address briefly the upcoming weather picture and the company’s dividend approach. On the regulatory front, you may recall that earlier this year, Idaho Power filed an application requesting that the Idaho Public Utilities Commission reduced the maximum required term for prospective power purchase agreement from 20 years to two years. On August 20th, the commission issued its order approving the company's request. This is good news for our customers whose rates could be impacted by long-term purchase agreement when we predict no near-term need for new generation capacity. As shown on slide eight, Idaho Power continues to receive national recognition for media outlets. In the September issue of Public Utilities’ Fortnightly, Idaho Power is ranked number 11 of investor-owned utilities in the publications list of the 40 best energy companies. Idaho Power again made a substantial jump in the ranking. We moved from 39 in 2012 to 29 in 2013 to 17 in 2014 and now to number 11 this year. We are very proud of our upward trajectory on this prominent list. The Fortnightly 40 measures utilities long-term performance, and ranks them according to operating efficiency, asset utilization and financial leverage. You will see on slide nine that Idaho Power was also featured in the October issue of United Airlines’ Hemispheres magazine. Our company was highlighted as one of the innovators in the Dossier section of the magazine focusing on Idaho. The story looked at some of Idaho's most forward thinking organization and highlighted our green -- clean, green hydroelectric base and our long history of providing responsible energy. It also focused on our low rate and how they benefit our state economic development efforts. We have seen and continue to expect growth in our service area. According to preliminary Idaho Department of Labor data for September 2015, total employment in the service area was almost 480,000, compared to just over 458,000 at September 2014, a notable increase of almost 5%. The unemployment rate for the service area was 4%, compared to 5.1% at the national level, according to U.S. Department of Labor data. As of September 2105, Moody's Analytics forecast growth in gross area product for Idaho Power service area of 4.8% and 6.3% for 2015 and 2016, respectively. These are up from this year’s second quarter estimates of 4.6% and 5.4%, respectively. Moody's Analytics also forecast that new single-family and multi-family housing starts in our service area are expected to average approximately 8,800 units annually over the next three years, compared to an annual average of approximately 5,700 units over the last three years. Customer growth for the 12 months ended September 30, 2015 was 1.8%, reaching almost 523,000 total customers. We view these items to be positive economic indicators that will help continue to drive load growth in our service area. I want to provide a brief update on the precipitation and temperature forecast for November 2015 through January 2016. Meteorologists are calling for an El Niño weather pattern to set up in the west. On slide 10, you will see that a dry and warm start to the winter could be on the way. That is one view of the El Niño we could experience, but history shows a lot of variability with both high and low stream flows even in El Niño years. Weather prediction has never been an easy undertaking. Regardless, Idaho Power stands ready to meet the expected energy needs of our customers. Idaho Power also has regulatory mechanisms, such as the annual power cost adjustment and fixed cost adjustment mechanisms that allow us to share both the risks and the rewards of weather-related conditions with our customers. Last but not least, I would like to update you on our dividend, as seen on slide 11. On September 17, IDACORP’s Board of Directors approved an 8.5% increase in a regularly quarterly cash dividend and IDACORP’s common stock from $0.47 per share to $0.51 per share. This increased dividend amount commences with the dividend payable in the fourth quarter this year. IDACORP’s Board of Directors has approved dividend increases in each of the last four years, representing a cumulative increase of 70% in IDACORP’s quarterly dividend over that period. The increased dividend on an annualized basis places us at the lower end of our target dividend payout ratio based on our current 2015 earnings per share guidance range. As of today, management anticipates they will continue recommending to the Board of Directors future annual increases to the common stock dividend of greater than 5% until we approach the upper end of our target payout range of 50% to 60% of sustainable earnings. In closing, the first nine months of 2015 have been strong both financially and operationally. Our earnings for that period were ahead of last year and Idaho Power System has performed well despite the lower average stream flows. In part because of our balanced portfolio of generation resources, we have continued to reliably serve our customers while reducing our carbon output by approximately 9% as compared to 2014. We are positioned well as we look forward to the beginning of our next 100 years in 2016. And now Steve and I as well as others here today will be happy to answer questions you may have. [Shanelle] [ph], are you there?
Operator: Thank you. [Operator Instructions] And our first question is from Paul Ridzon of KeyBanc. Your line is now open. Please go ahead.
Paul Ridzon: Good afternoon.
Darrel Anderson: Hi, Paul.
Steve Keen: Hi, Paul.
Paul Ridzon: Saw your article in the Hemispheres Magazine Darrel, looks good.
Darrel Anderson: Okay. Thank you, Paul. Appreciate it.
Paul Ridzon: You have not booked any reserves for refunds so far this year, have you?
Darrel Anderson: That’s correct, Paul. We have laid us no sharing reserve at this time.
Paul Ridzon: Do you have your trailing 12 ROE?
Darrel Anderson: Yeah. If you hang a second, give me one second, I can probably pull it out, I hope. At the IDACORP level, is that what you’re looking for?
Paul Ridzon: Idaho Power.
Darrel Anderson: Idaho Power, it is on a 12 month basis it’s about 10.6%.
Paul Ridzon: And then, I don’t know if you have available but can you kind of parsh out that $9.4 million weather impact and how much was tier pricing and how much was volume?
Steve Keen: On Idaho, we can…
Paul Ridzon: Yeah.
Steve Keen: … circle back if can pull that out…
Paul Ridzon: Yeah.
Steve Keen: … that’s all the number I have handy. We don’t back it, it’s somewhat difficult to break that out.
Paul Ridzon: Okay. Maybe I’ll circle back.
Darrel Anderson: I think find it back, yeah.
Paul Ridzon: Thank you very much.
Darrel Anderson: Hey. Thank, Paul.
Steve Keen: Thank you, Paul.
Operator: [Operator Instructions] And our next question comes from Sarah Akers of Wells Fargo. Your line is now open. Please go ahead.
Sarah Akers: Hey, good afternoon.
Darrel Anderson: Hi, Sarah.
Steve Keen: Hi, Sarah.
Sarah Akers: Just have a question on the sales breakdown. So in the 10-Q you have the megawatt hour sales and it looks like industrial. Its fairly flat year-to-date and given the positive trends in the economy that a little bit surprising. Is there anything going on in the numbers there or can you comment on that trend?
Darrel Anderson: Sarah, we’re looking at the numbers right now. And what I would say, you are right, if you take a look at the nine months and even the -- nine months and the three months, they are fairly flat. I think a lot of the other activity that we’re seeing is actually showing up on the commercial side versus the industrial side. It is where some of these customers are landing. So from a customer class perspective, that’s where a lot of those are -- would be showing up because they don’t reach the size, the scope and scale that will land in an industrial category.
Sarah Akers: Got it. Great. That’s all I have. Thank you.
Darrel Anderson: Thanks, Sarah.
Operator: Thank you. [Operator Instructions] And that’s concludes the question-and-answer session for today. Mr. Anderson, I will turn the conference back to you.
Darrel Anderson: Thanks, Cineol and thanks to all of you guys for reaching out and calling in today for our call. We hope we get a chance to see many of you guys when we’re down in Florida at the EEI Financial Conference. And so with that, we should get rest today. Thanks a lot.